Operator: Hello, everyone. Welcome to today's webcast on HIVE Digital Technologies Financial Results for the Quarter Ended December 31, 2024. My name is Nathan Fast, I'm the Director of Marketing and Branding at HIVE, and I'll be your moderator for today's call. Before we get started on Slide 2, I would like to briefly note the disclosures for today's presentation. Except for statements of historical fact, this presentation contains forward-looking information within the meaning of the applicable Canadian and U.S. Securities Regulations. These forward-looking statements are based on expectations, estimates, and assumptions as of the date of this presentation. Further, in addition to discussing results that are calculated in accordance with International Financial Reporting Standards or IFRS, we will also make references to certain non-IFRS financial measures, such as adjusted EBITDA. For more detailed information on our non-IFRS financial measures, please refer to our Management's Discussion and Analysis of our financial results that was published earlier today, which can also be found on our Investor Relations website. On the next slide, I'm pleased to introduce today's presenters, Frank Holmes, Executive Chairman; Aydin Kilic, President and CEO; and Darcy Daubaras, Chief Financial Officer. I would now like to hand the presentation over to Mr. Frank Holmes for a macro recap of the quarter. Frank?
Frank Holmes: Thank you, Nathan, and welcome to the team. So I'm going to try to go through before we get into the granularity, the nitty gritty of the financials and some of the other hashrate and factors that we look at, I want to give a bigger picture of what's driving this industry and some really significant events that have taken place in the past three months. But before we do that, I always like to talk about the DNA of volatility. And life is all about managing expectations. And understanding this visual is basically saying the one standard deviation or one sigma means that something event happens almost 70% of the time. So it means that it's a non-event for the S&P 500 to go up or down 1% in a day and over 10 days it's 2%. And when we take a look at Bitcoin, its normal DNA of volatility 70% of the time is up or down 3%, but over 10 days it's 8%. And then we could take a look at new stocks that are really trailblazers and their DNA volatility starts to really expand. So, when we look at the AI and the GPU chip build out with Nvidia, you can see the one day DNA is the same as Bitcoin but over 10 days it's plus or minus 10%. So a lot of external factors are whipping around the volatility of this particular stock. And Tesla is even more volatile with a daily volatility of 4% and over 10 days 13%. And HIVE Digital is plus or minus 6% in a day and over 10 day period it's 17%. And the ultimate of speculative volatility is micro strategy. Since they've continued to leverage their balance sheet and buy more and more Bitcoin, their daily volatility is 7% which is more than double Bitcoin's daily volatility and over 10 days, it's three times the volatility of what Bitcoin is. So it's important for investors to understand what the DNA of volatility is before you take -- make an investment in any of these different asset classes. So quite often we hear buy the dip, stock your shares, stock your coins and HODL. And this -- these are filled with memes all over Reddit. They are on Twitter or X today, they're on Instagram. And I just think it's pretty funny when I see that. But I do not see this commitment to other stocks or coins except for this ecosystem. And that's important for investors to recognize that this brand new, and I like to call it also a metaverse of which started as gamers evolving into what is the crypto global ecosystem. And today there are 194 countries in the world, but there are over 20,000 nodes validating the Bitcoin network all over the world. So buy the dip, stock and HODL Bitcoin ecosystem. What does that mean? Well, that means if bitcoin falls more than one sigma 3% a day, there's probably a better time to buy it. And if high falls more than 6% a day is probably a better time to buy it. And for those who are traders, quite often when it jumps to 3% bitcoin in a day, you take some profits. And if HIVE jumps 6% a day, it takes some profits. That is the DNA that we experience in the capital markets. And the correlation of HIVE with bitcoin is extremely high. They run in tandem like birds of a feather flock together. We all move by the minute in a similar direction. So one of the things that's really interesting for me in talking to registered investment advisors that are now coming into the ecosystem to buy Bitcoin ETFs is really not knowing some of the simple math. And one Bitcoin is equal to 100 million satoshis. So if you go to Robinhood to buy $1,000 worth of Bitcoin and you're buying a slice of it. Well, I'm going to walk you through that. You're buying about a million satoshis. And how does this calculate? And it's really important to understand that a satoshi is so tiny and what gives it that the upside and to understand the math between bitcoin and a satoshi. So if one satoshi is worth a penny, then one bitcoin is worth a million dollars. And this is very, very important to recognize. I have said that bitcoin has all the capacity and capability of going to a $1 million and it can be faster than you think with adoption. And this adoption takes place in many different forms, which I'm going to walk you through, but we know at HIVE that we've been offered for what are called special numbers, unique satoshi numbers. And those numbers have a greater value, such as the day of the inauguration of President Trump, the day of a pizza day. They like to calculate when someone gave up all their bitcoins. Well, certain satoshis can have incredible value. Where we've been offered up to $10 of satoshi, not $0.00097. And that's important to recognize that how bitcoin is broken down into these fractions. So if one Bitcoin is trading at approximately $97,000 today, then one Satoshi is $.000971 and it Bitcoin is at a $100,000 and bitcoin goes to $1 million, that means satoshis are worth only a penny. And that's important to grasp. So we look at the next visual with bitcoin, say at a $100,000, investing a $1,000 on a Robinhood basically buys you 1 million satoshis, or 1 million penny stock if you can think of it that way. Because bitcoin is divisible, so you can own a fraction. And this is part of the global adoption that is happening with the Bitcoin ETF. So if you go out and buy HODL, H-O-D-L, which is the next Bitcoin ETF and you buy only $1,000 worth, while you should be getting close to a call on a 1 million satoshis. And this is what I found, a lot of registered investment advisors were not aware. And when you limit the supply of 21 million coins and you have this adoption, then what's called [Metcalfe's] (ph) law kicks in and the prices can grow exponentially. And that is -- it is really simple of Metcalfe's law saying that it can go to a penny. Well, that means, bitcoins are $1 million or a bitcoin when it hits a $1 million, your satoshis is going to be worth a $0.01. So that’s the ten bagger and that is the exponential move that people can better understand what's taking place. So let's talk about this beginning, because in July earlier last year, President Trump showed up to a packed crowd and he talked about how he's learned and he's embraced bitcoin and he understands about the element of freedom of private property and the freedom of rights and the capacity to be digital and to be able to send anywhere and share anywhere, were becoming very valuable. But behind all of this, you must understand that the crypto ecosystem, through super [PACs] (ph) basically contribute about $130 million to Congress races. People that are running for Congress that were supporting the bitcoin blockchain ecosystem. And this resulted in the election of numerous pro crypto lawmakers. And that is the big change. So now it's a new dawn for US digital asset policy. And a clear focus on crypto, Trump's executive order. Trump learned a lot from his first four years being absent for four coming into this term. He basically has two years to move quickly to enact all the changes he wants and it's very disruptive to the markets. Last week bitcoin was down because of tariffs with Trump and this week bitcoin was up because of Trump's tariffs. And you hear this with gold and it's all over the board. It's just lots of nuances you have to recognize. People are unused to Trump's executive order. But if you study global capital markets the way I do, you would take a look at Argentina and Milei when he came into power and how he cut deep and wide a lot of government agencies for wasting capital and jobs. And what he did with that fast was to this sort of executive decision making. He dropped inflation dramatically in his country and many other things of basically there's been no huge unemployment, all these government workers were doing nothing. All of a sudden found new jobs. So I think there's something that's afoot here. And Milei was at the inauguration for President Trump just like the president of Paraguay, which I'll mention in a few minutes. But it's understanding that the success of Argentina and the experience of what's taking place with President Trump is as he's supporting the blockchain networks, mining activities and self-custody of digital assets. He's strengthening up global position of the US dollar by promoting stable coins. He's providing clear and fair regulations for the crypto industry with well-defined rules for oversight and Trump's goal is to make the US the crypto capital of the world and Repeal of SAB 121. The SEC crypto task force is headed by a pro crypto SEC commissioner Hester Pierce. So lots of things are happening and they're happening very quickly and there's a reset button that's not waiting three months for something that's happening by the day and by the week. So I think this is important for you to recognize and this also gave HIVE the confidence and for many reasons to move its head office from Vancouver to San Antonio and to start the audit process to be able to come up with GAAP accounting, which Darcy will give you more color on. But we feel safer as a company having the head office in San Antonio now that we have a government that is pro crypto, but also pro blockchain. Next, please. Trump appoints former PayPal executive David Sacks as AI and Crypto Czar. New role to help reshape US policy and digital currency. Early evangelists for cryptocurrency Move comes after Bitcoin soared over $100,000 for the first time. And now we have all this tariff stuff going on. But I think it's just a lot of noise and I think that we're seeing some of the change of taking a look at blockchain to become into the Treasury Department so that there's a better way to audit. And especially when we look at US Aid and the abuse of all the money that -- where the money was going, a lot of this, probably half of the money was going to NGOs that had political agendas that were really not aligned with US Aid to help poor countries or countries are unfortunate from a storm or from an earthquake or starving children. It was being abused. And I think when you put this on the blockchain, it's much easier to do an audit. I think that's a direction we're going to have with this new thought leadership. Next, please. So let's take a look at the daily trading and I want you to remember that bitcoin has no CEO, no CFO, no Board of Directors. It's we the people, by the people around the world have been adopted and adopted early. HIVE was the first crypto mining company to go public. It was the first company to really adopt and adopt to this changing global ecosystem. Bitcoin was only $3,000 at the time and the trading volume was quite low on a relative basis. But today it's averaging, using Bloomberg and Yahoo, about $42 billion a day. I mean, this is a big number when you take a look at an industry of a couple of trillion dollars. Next, please. And I always like to compare it to JP Morgan that always wants to attack the bitcoin ecosystem. They want to find fault with it because they want to control all financial movement of money so that they can turn around and charge more fees. And bitcoin is much faster, more fluid to send money between countries. And we've seen the growth of stablecoins. We've seen the unprecedented growth of tether around the world that now has more US treasuries than the country of Germany. They are a major player when it comes to the US treasury auction. So things are changing. And these are important points that bitcoin trades a magnitude of six times greater than we can see here, than JP Morgan and it's just under Apple. But it's just a matter of time that Bitcoin will surpass Apple around the world for daily trading as this adoption continues. And once again I believe that it's really important to understand Moore's Law, understand Metcalfe's Law. There's some real technological laws to understand when you're buying equipment. That in particular when we look at AI or we look at buying chips in ASIC, how much more efficient they are, they're really applying, that's Moore's Law. But the adoption process is much more traction with Metcalfe's Law that talks about this adoption and how prices will increase. Next please. So BlackRock launched and remember I tried to launch a Bitcoin ETF in 2017 and realized it wasn't going to happen, so launched the creation of the first crypto mining company HIVE. And it was fortunate that we did it early. But you can see how long it took to finally get a Bitcoin ETF off the ground. And BlackRock launched its Bitcoin ETF on January 11th, 2024 about a year ago. And it's the greatest launch of ETF history by the comments by here by ETF Store. But when we look at all the assets that have basically gone into Bitcoin ETFs it's from zero to $120 billion in assets. Half of that or close to half of that is BlackRock. Next please. So this is another visual of looking at $115 billion. Just the volatility is measuring when this snapshot just recently took place. But I think it's really important for it to recognize that this huge adoption is taking place. And I believe that as more RIAs and brokers etc, really understand the scarcity value of Bitcoin, the growth and the need of bitcoin and it's all based on the blockchain that we're going to see big changes being ushered in very positively over the next four years. Next please. So BlackRock now is expanding its footprint by launching a bitcoin exchange traded product in Europe after the success of his $58 billion US ETF. Next please. The adoption only grows here we have Costco. You can now find Bitcoin in some of the -- No, it's supposed to be now in all of the stores. And so it's gone from some to all the Costco stores. And I think that that's what's really important in this rollout. Next please. So strengthening our relationship with the President and top government officials in Paraguay. This is myself last May-June meeting with the President of Paraguay, Santiago Peña. Pena studied in America, went to the University of Columbia in New York, worked in Washington D.C. has a high bank rating as a sovereign currency. His bond rating for the country is stellar. On a relative basis of other emerging countries. I think it's important to recognize that there's few countries in Latin America which are really pro America and Paraguay is one of those. And now with the leadership of Milei in Argentina, they are pro America, but nothing like Paraguay. And that's what's most interesting how they look at their country was almost wiped off the face of the Earth in 1870 until President Hayes came in and settled and protected the sovereignty of the country of Paraguay. And so, one of the large states in the country of Paraguay is Hayes, named after the President Hayes. So it's interesting to see this strong tradition of this particular country, which is rich in fertile farmland and rich on hydroelectricity. And that's why we're there. They are generating massive surplus electricity for the largest dam in the Western hemisphere. It's been paid off. It's a partnership between the countries of Brazil and Paraguay. And what we do in the Bitcoin ecosystem is really helpful their utility company earn US dollars every month and get paid on time because they were selling energy to Argentina. Argentina has paid back out of 200 and some odd million dollars or $100 million under the new president. But they still owe more money to them and it's really difficult running your country when you're one of your biggest exports is electricity and you don't get paid on time. But when you have bitcoin mining you do get paid on time every month. So this helps the overall country and this helps HIVE in its journey to really focus on sustainable green energy. Next please. So the big news we announced and Aydin is going to go into more granular detail on it, but HIVE Digital Technologies announced the acquisition of Bitfarms facilities. It enhances our operating capacity in Paraguay to 300 megawatts upon completion. It plans to expand mining hashrate 4 exahash from 6 exahash to 25 exahash, which is a huge increase. And based on Bitcoin around $100,000, it gives us a run rate globally of pushing the $500 million based on the technology and the difficulty today. Next please. Just a simple visual. HIVE's future hashrate growth from 6 exahash today to 25 exahash and that against all of our peers is the fastest growing this year announcement when you compare to all the other peers. And I think Aydin is going to give you some great granularity of what makes us a unique value proposition. Moving to the US, also makes us qualified through our process. There's no guarantee, but it does set the stage to qualify for many of the indexes that are out there like the Russell 2000 and if you look at many of the other bitcoin mining companies their biggest holders are index related. They're not active technology funds. They are predominantly those funds that are indexed. And I think that we're trying to position the companies in that pathway. Next please. So research coverage on HIVE has grown substantially over the past year. Has been a lot of work by our peers. It used to be predominantly Canaccord and Stifel, but we can see now that we have other people that have come along with Cantor and ROTH and we have Northland, HC Wainwright and by the way you see Keefe, Bruyette & Woods is really a Stifel company. So that's the Stifel research. And most of these companies are calling between $9 to $11. That's the re-rating. And I think after Darcy gives you an analysis of our financials and you look at our run rate and I think the important part for investors is to look at as a data center business and data center business trade at multiples of 10 to 20 times EBITDA. And when you look at that we have the [indiscernible] great potential to go to $800 million on our run rate today of EBITDA to about $1.6 billion. And if you do it on a performa basis it's more like $3 billion. So that's what makes the value proposition where HIVE is positioning itself for this growth. Next please. So I mentioned this earlier that HIVE’s relocation in San Antonio aligns with the operations of the America first agenda, enhancing local engagement and operational efficiencies, transition to US GAAP reporting in fiscal year end March 31st to enhance transparency and comparability. It's really important to other bitcoin miners. So it's easier for any investor, retail institution to do relative valuations and visit us if you're in our local area in Texas. Thursday, April 17 HIVE is having retail Investor Bay and ribbon cutting ceremony in San Antonio, Texas and a meetup to talk about Bitcoin and where we're going in this world. Next, please. So now I'm going to turn over to our CEO and President Aydin Kilic to give you a more granular update on the financials of where we -- the financial operations, more like the operations. A comparative analysis of our value proposition. And then our CFO Darcy Daubaras, he will give us a detailed financial analysis of the company. Now, I'd like to turn it over to Aydin.
Aydin Kilic: All right, Frank, thanks for that introduction. That was a phenomenal macro overview of the industry. So now we're going to have a closer look at the executive summary highlights for HIVE this quarter. Let's kick it off. It was a great quarter for us. So $29 million of revenue with a $6.1 million gross operating margin works out to 21% operating margin for the company this quarter. In addition to that, $17.3 million of adjusted EBITDA. And furthermore 2,805 Bitcoin on the balance sheet mined with green and clean energy, unencumbered, no debt on those Bitcoin. Another metric I'm very proud of when we started tracking this is we hit an annualized ROIC of 37% this quarter, which I think is phenomenal and in fact leads a whole industry. We're going to look at some comp charts later to see how we stack up against our peers. And by the way, right now HIVE is the best bang for your buck. Full stop. For every HIVE share that you purchase, you're getting 78% Bitcoin per share. 78% Bitcoin per share. And later in the presentation, we actually have a comp table that VanEck did cracking this and we led the whole sector. So I think all the smart money now is going to HIVE, because they clearly see we provide the best value proposition in terms of exposure to Bitcoin for every share that you buy. Biggest growth in the sector right now with 4x and best ROIC. But more on that in the following slide. Let's jump into the next one. So how do we do this? It's our differentiated growth strategy. We prioritize ROIC when we deploy our capital. And by the way, even in January, our HODL was 2,657 we deployed some capital to acquire the Bitfarm site in Yguazú. And so we sold some of that bitcoin very strategically for that purpose. But nevertheless, we're still up 37% year-over-year. So we are putting our balance sheet to work and whether it's using proceeds from the ATM or in certain cases, bitcoin, we always want to make sure it's accretive and it is something that will provide the best value to our shareholders and the lowest cost of capital. And as a result of that, we are demonstrating the best enterprise value to bitcoin mined and the most attractive enterprise value to adjusted EBITDA in the sector. Our target is to hit 3% of the global hashrate this year, which will be 25 exahash by September 2025. We're going to have some slides that demonstrate what the cash flow of that looks like and it's very attractive. Of course, our HPC and AI business, a lot of institutions are very excited about that as bitcoin miners are pivoting. We've demonstrated our position in the market. We hit $10 million in annualized revenue this year -- sorry, this quarter, and we are on track to get to $20 million. But more on that later. By the way, we're an Nvidia cloud partner. We're going to be attending the Nvidia Global Tech conference this March to see the Jensen Huang keynote and meet with some of our OEMs and technology partners. If you're there, come say hi. Next slide. All right, so this is the big sexy bitcoin slide that everybody wants to talk about. So we have binding LOI to acquire the 200 megawatt site in Yguazú. The site is phenomenal. We were there in December, it was very well on its way to completion. You could see here an aerial photo of the adjoining substation. And what this gets us is a formative step towards our Strategy to have 25 exahash by September. And by the way, as we are populating our expansions with the latest generation gear, that gets us to a global fleet efficiency of 16.5 joules of terahash, which will give us one of the best fleet efficiencies in the industry. And as you know, the lower that number means the less energy you need for every hash you produce, which means a lower cost of bitcoin production. So we are going to have one of the most modern, efficient fleets. And the power costs in Paraguay lower our global average cost of electricity. So very excited about that. How it rolls out is summarized here on the bottom. So the first 100 megawatts is forecasted to be air cooled and that'll be 6 exahash. Those air cooled machines are 16.5 joules of terahash. Then the second 100 megawatts is actually at our Valenzuela site that we press released a few months ago. Those will be hydro and those are 15 joules of terahash. And that means you could fit 6.5 exahash in that 100 megawatts. And then the third tranche of 100 megawatts is the second phase of the Yguazú site, another 6.5 exahash. Right. So you tally that up and that is how we get to our 25 exahash target. Now we actually announced two lead orders from Bitmain and Canaan in December which secured 15 exahash of hashrate. And by the way, those purchases were both at phenomenal prices. So the Bitmain order was at $14 a terahash for S21 plus hydros and it worked out about a 10 month ROI after OpEx. After OpEx. Phenomenal deal. And the Canaan, we weren't allowed to say what the dollar per terahash price was, but it was a great deal and it was a sub one year ROI after cost as well. So we're thrilled about that. And of course we'll be announcing other strategic ASIC orders to get us to the 25 exahash pipeline. Let's jump to the next slide. So for all the analysts out there and all the keen investors that have their spreadsheets, here it is by the numbers. So our global existing footprint works out to 140 megawatts between Canada and Sweden and the additional 300 megawatts in Paraguay gets us to 440 megawatts. So currently we're at 6 exahash of installed hashrate and our pipeline once everything is completed is 25 exahash. Now if you add up the numbers there, you actually get to 25.5 exahash. But just to keep things simple for the street, the target is 25 exahash. In addition to that we have 2.2 megawatts of Tier 3 operating in Stockholm, in Montreal. More on that later. But again you've got the status, what's online and what's prescribed for the energization dates of the expansions. And by the way, 100 green energy. Next slide. So this is really what this translates to is a 4x growth in our current hash rate of 6 exahash hashrate. And so, again, you see here on this bar chart, it's a visual representation of that growth. So the 6 exahash going to 6.5 exahash is an internal upgrade, although it's a modest upgrade, only increasing by half exahash you actually see our efficiency increase from 22 to 19. That's the upgrade of those Canaan that we ordered, air cooled going into New Brunswick and Sweden. Next up, we add 6.5 exahash from the hydros that will go in the first 100 megawatts, another 6 exahash air cooled in the second 100 megawatts and of course another 6.5 exahash in the final 100 megawatt tranche, ending us with a global fleet efficiency of 16.5 joules of terahash. So for all the analysts out there that are doing the models and forecasting, I hope this slide is very helpful. Any questions, feel free to reach out. Next slide, please. Now, this is what the projected cash flows look like once the 25 exahash is operational. So we've done sort of a three scenario cash flow projection, Bitcoin did either a $100,000, $125,000 or $150,000 So in this scenario at 25 exahash you're a 3% of the global network, which works out to 13.5 bitcoin per day. So using that on a pro rata basis, you're doing either $1.4 million of daily revenue up to $2 million. Now let's just zoom out and look at it macro. Really what this works out to has an annualized mining margin of approximately $330 million in the base case, $450 million. And by the way, this is after assuming an electrical cost of approximately $0.450 for the model here, $450 million if Bitcoin is at $125,000 and over $500 million of cash flow from operations from gross mining margin if Bitcoin hits $150,000. Keep in mind our market cap today is a little under $400 million. And so, I think there's immense upside. With Bitcoin at $150,000, if we're throwing off over $500 million cash flow from operations at a 3x, 4x multiple on cash flow, it's a $2 billion company is what it is. By the way, we have HODL as well, which is over $250 million of Bitcoin on the balance sheet. So it's going to be a very exciting year. Historically, by the way, we've seen every bull market come really in full force in effect a year after the having, so little history lesson. In 2016 we had the having in April and bitcoin really started to take off in summer of 2017, hitting its all-time high of $20,000 in December of 2017. Right. So the following year. Now in 2020 we saw the having in May and the bull market, well it really kicked off in February of 2021. We saw an all-time high of $65,000. And then again in November it was a twin peak bull market, $72,000 a bitcoin. Now in 2024 we had our having again in April and in sort of December, January we saw bitcoin hit a $100,000 for the first time ever, which was very momentous. And so, we look to the balance of calendar year 2025, are we going to see $120,000 a bitcoin? $180,000 a bitcoin. I think everybody has a different opinion, especially with all of the tailwinds with the new Trump administration which we're so excited about. And we feel is great for America. Next slide. Now, we at HIVE are now leading the industry in growth for calendar 2025. Again, I just want to back up and remind the street that HIVE has made really big plays. You go back to 2020, when we acquired [indiscernible], a 30 megawatt facility was the largest in Canada at the time. 2021, when I joined HIVE, was to oversee the acquisition, New Brunswick, which was 70 megawatts. Again, the largest single site bitcoin mine in Canada at the time. And so, we've been waiting. It's a road less travel to get green energy. But we found that in Paraguay, so we're adding 300 megawatts of our portfolio. That's a 4x growth calendar year. See, our peers are sort of in the 1.2 to 1.8 range for the most part. And of course, Bitfarms, who, by the way, we think they also did a great deal. They're focusing on their gigawatt of growth in the U.S. they're looking at 3.5x growth. So, clearly HIVE and Bitfarms are leading the sector in terms of growth prospects. [indiscernible] there are 2.7. But then we're going to look at the other aspects. We're going to look at ROIC and we're going to look at G&A and there's other fundamentals of the business that'll be very interesting. But again, we lead the sector with the biggest growth for 2025. It's going to be a great year for HIVE. Next slide. Okay, so if you look at the enterprise value relative to our projected hashrate, we are a very, very attractive buy. And this again, I'll say, I believe the smart money, the savvy money, the investor that really does their homework and understands the mining industry sees HIVE as the best bet you could see at $5 per exahash. 5 million, I guess it's in millions, I should say, by a long shot. Our peers are trading at anywhere from 4 times to 8 times to 16 times our value per exahash based on current growth this year. So again, because we have the biggest growth this year, we're such an attractive value proposition. And this is why I think it's a very strong case for the savvy investor that's looking for value stock in bitcoin mining. Next slide. So, again, just a reminder, we are very data driven. It's all about deploying our capital for the best dollar per terahash when we're buying ASICs, which, by the way, you have to keep in mind the joules of terahash, you have to model the variability of hash price and understand net of costs, when are you going to ROI in your ASICs. If you are not outperforming the market. By that, what I mean, if you are not generating more yield and returns from your mining operations then if you just bought bitcoin, then you should just be buying bitcoin. Otherwise, what's the point? Right? And so we see a lot of capital get sort of deployed, some would even say destroyed in the mining industry when people are raising a lot of capital and just expanding. We have slower upgrade cycles with our ASICs. Why? Because we want to mine for their full economic life cycle. So for example, what that means is if an ASIC has useful economic life of three, maybe four years, if you're lucky, then you want to be ROIing in that first year to year and a half. So for the balance of the two years or one and a half years of that ASICs life cycle, you want that to be free cash flow. However, the latter seasons of that ASICs life will have lower margins. And so, when you look at the quarterly mining economics, if you're free cash flowing on older machines, your gross mining margin might be thinner, but that's free cash flow and the industry doesn't really track that. So we just have to remind the street to really pay attention about where to show up our ROIC. And of course, this is where we've continued to lead the sector. And by the way, we've got best in class uptime as well. So when we talk about efficiency, we talk about having the best up time. And also we're going to be leading the industry with the most energy efficient fleet as well at 16.5 joules of terahash. So let's hop to the next slide and see some numbers. So here it is. So for the quarter, 9.3% ROIC annualized, 37%. And so far only HIVE and CleanSpark have reported because this is not our year end. We have a March 31st year end. Of course CleanSpark is September. And so these numbers will populate. But just look at the past quarter quarters as well. And you see we've led the industry head and shoulders with the best ROIC quarter-over-quarter. That comes from our disciplined deployment of capital, being very data driven. And here's the results. I'm very proud of the team and the hard work that we do to deliver value for shareholders which I think is very strongly represented here. Next slide please. Now, cost management, lowest G&A per Bitcoin mined as well. You could see in the sector some of our peers look at the previous -- the current quarter, again, we just have HIVE and CleanSpark the data. But you know, you can compare those two data points and in previous quarters you could see that we are a mere fraction. Even in a bear market, right when margins are thin, you see our G&A was 27% of revenue. That percentage is higher because it was a bare quarter. [PCR] (ph) peers 50%, 60%, 40% in some cases 98%. So it it's about -- like HIVE is the longest standing bitcoin miner, the first to go public. We go into our eighth year of operation. We've weathered three bear markets. So you have that discipline and understanding. You have to have a very lean operation, A, to offer good value for shareholders, but B, to make sure you can weather the tough quarters. And so we have that discipline which we prove quarter-over-quarter year in, year out. So very proud of my team. We all work super hard. We huddle every day at 7am my time, Vancouver, 10am Toronto time, 4pm Sweden time. And we pretty much run 24/7 just like crypto markets. That's the HIVE advantage for shareholders. Next slide. So again we've talked about our HODL. You look at that year over year it's gone up almost 4x, right? So that's 2,805 bitcoin on the balance sheet mined with green energy, unencumbered. You know, we haven't bored against it or anything like that. Very little to no debt at HIVE as well. We're in a very clean balance sheet as well as having profitable operations. So again, discipline and growth. And by the way, 2024 was not exactly the most bullish year overall for bitcoin mining. So again, very proudly we were able to grow that HODL very substantively, while also scaling our operation and upgrading our fleet to more energy efficient miners. Let's hop to the next slide. So this is also a metric we wanted to revisit, because even though we've been growing the business and upgrading our fleet, we still managed to have the lowest dilution across the peer set. So let me recap. We have the highest growth prospects in the industry. We announced $120 million order with Bitmain. $36 million of that has been paid up in our initial deposits. To secure that we announced our binding LOI with Bitfarms. $20 million has been paid towards that. So we're using our ATM very judiciously and when it's strategic and accretive to do so, we will sell a little bit of bitcoin. As you know we announced our January HODL is 2,650. And so we still -- we do all of this. It's a symphony of strategy. So we had the lowest dilution and so you could see here quarter-over-quarter -- sorry, year over year we've managed to have the lowest dilution in the industry by a long shot, while also having the highest growth. So again, proud of my team, greater capital efficiency and earnings per share protection. So again, having this discipline going into a year of growth and what we expect to be a bull market for bitcoin mining, if the past cycles of having is anything to go by, which again we have three having events, we believe that this is going to be a great year for Hive. Next slide. Anthony Power -- if you've ever met Anthony in person, he's so passionate about numbers. He's a CP out of the UK. And he does a great job. And you could see here we're neck and neck. Again, we at Bitfarms and HIVE have been amongst the longest standing crypto miners, both going public during the Canadian era of 2017. And so we lead the sector here. We're neck and neck for first place. And this -- by the way, this is for the full calendar year. This is for the full calendar year of 2024, we led the sector and you could see that that waterfall rolls off pretty substantively. Some of the peers are sub 30 bitcoin per exahash. But again, we not only want to offer shareholders the best bang for your buck, but best performance. So I can confidently say, as President and CEO of HIVE, I really think that pound for pound we are the best bitcoin miner in the sector. And it's the numbers that really back it up. But again, we were very diligent, we work extremely hard to keep this level of performance and we want to scale this level of performance as well. Let's hop to the next slide. So I alluded to this. It's a very interesting summary by VanEck. And so what they're looking at is bitcoin value per exahash. So you look at the enterprise value and value of the treasuries etc, and really what you could see here, if you look at the rightmost column, we lead the sector, 67% bitcoin value as a percentage of our enterprise value. And you see Marathon is number two at 63%. And Marathon has gone out and I think they've raised quite a bit of money just to buy Bitcoin. But we've managed to organically from our own operations strategically HODLing while also having the lowest dilution in the space. Again, this is a testament to our discipline. We're very data driven. When we deploy our capital, we keep costs low so we have cash flow positive operations. This slide alone I think says a lot. But anyways -- and this is on their website too, I think the URL is down there at the bottom. VanEck, they're a great ETF. I think they're going to be doing a new discretionary ETF, where they will be able to deploy capital -- more capital into the crypto mining sector. So we're very grateful to have them as a shareholder. Next slide. And this is -- this revisits the hype ratio. So look at the January production report. You've got everybody's press releases. It's tabulated here for convenience. Again, this is all market data. And you look at our market cap and you back up the value of the HODL. So you got what, call value excluding HODL fair value or just it's called enterprise value for convenience. For $117 million produce 102 bitcoin. So if you annualize that, we're trading at a value per bitcoin mined at $96,000, which is basically the price of bitcoin. And you look at what our peers are trading at, some of them are trading $200,000, $400,000, but some of them are trading over a $1 million per bitcoin mined. And you can kind of normalize that to a ratio. And because we have the most attractive value, if we're trading at a 1x, our peers are trading anywhere from 1.5x to 2.5x to 8x to 10x to 12x. So again, we believe the smart money will start funneling its way to HIVE. We are the best value, pound for pound, the best miner in terms of uptime, lowest dilution, lowest G&A per bitcoin mined. Again, I'm an engineer by training, so it's all about numbers for me. I'm a numbers guy. I'm sure everybody else is that enjoys crypto mining because it's a numbers game. And this is another metric where we lead the stage. It's very clear that we're an incredibly attractive value proposition right now. Let's see the next slide. Of course. So we're going to talk about AI. We hit $10 million in annualized revenue this quarter, $2.5 million. And that's coming from our 4,000 A Series cards which are operational in Montreal and Stockholm, Sweden, but very exciting. We just ordered 32 node H100 cluster with Infiniband and that was actually shipped and arrived in December and it was configured over those following six weeks. So it's now operation. We're looking to hand that over to a client in the next week or two and that will add $4 million of top line revenue. And then the H200 cluster we also announced is currently being configured and should be ready in about four to five weeks, I believe. SuperMicro is at the data center next week pressure testing and configuring everything. And of course this is with Infiniband as well. So we're building Nvidia reference architecture. By the way, multiples of 32 nodes is what Nvidia prescribes with Infiniband, of course. And that H200 cluster, we expect to add $9 million in top line revenue [indiscernible] you add 4, you add 9. Gets us to about $23 million of annualized revenue. The target is $20 million, just to keep it simple for the street and we're focused on hitting that in the next quarter. So we stand by for updates that. And $100 million annualized revenue target is still there. And all we said is that's going to be focused more on the infrastructure side. We'd be building and converting our green energy data centers to support Tier 3, where we can either build more GPU clusters or provide co location services. More on that. But right now the focus and the recent news is that, we've got the H100 and H200 clusters in our data. Again, H100 ready to be turned over to clients very soon and H200 should be ready to turn over in hopefully four to five weeks. And so, we've alluded to this. We said, we're focusing on next generation video compute. And by the way we realize it's no secret that Blackwell is going to be liquid cooled. And so, if you're going to be building Tier 3 infra, well it better support the next generation of compute which will be 130 kilowatts per rack if you look at an NBL 72. And so, it's about understanding where the market is going and preparing that. So anyways, we've commented about that, just sort of acknowledging that again. We'll hop to the next slide. So again the focal point here is to hit the $20 million of annualized revenue once the H100 and H200 clusters are rented. And we're planning to rent these clusters to single customers and then that's in addition to the cash flow from our existing GPUs of the $10 million. Next slide please. And it is time for Mr. Darcy Daubaras, the longest standing CFO in crypto mining industry. He's got more audits under his belt than anybody else and more having events under his belt than any other CFO in the crypto mining. Mr. Daubaras, it's all yours.
Darcy Daubaras: Thank you, Aydin. At this point of the presentation I will take taking you through a snapshot of the period, looking at the most recent completed quarter and some financial indicators. We are providing certain non IFRS measures in our presentation today. The company believes that these measures, while not a substitute for measures of performance prepared in accordance with IFRS, provide investors an improved ability to evaluate the underlying performance of the company. These measures do not have any standardized meaning prescribed under IFRS and therefore may not be comparable to other issuers. Further details are found in the management discussion and analysis for the three and nine months ended December 31, 2024. As you can see on this slide, HIVE ended December 31, 2024 quarter with 140.2 million common shares, 3.3 million options, 6.2 million RSUs and 3.2 million warrants outstanding. Onto the next slide. During this most recently completed quarter of December 31st we recorded $29.2 million of revenue and a $17.3 million profit measured in adjusted EBITDA. This was driven by the production of 322 bitcoin equivalent being produced. Onto the next slide. We always, and have since day one, taken pride in maintaining a healthy balance sheet, our cash position was $9.8 million as of December 31, 2024, in addition to $260.8 million in digital currencies, a healthy increase from the prior quarter, driven by higher HODL balances and higher bitcoin prices. And as we know, our HODL is consistent of Bitcoin. We also had $8.9 million in amounts receivable and prepaids. This is an increase from the prior period. The total market value of our strategic investments increased by 26% from the prior quarter to $30.7 million. We have a strong net cash position and healthy working capital to support our operations and growth objectives with a current ratio of 10.4 calculated as current assets divided by current liabilities. Moving on to the next slide, let's shift our focus to our gross operating margin on a year over year basis, we'll be comparing the third quarter of this year to the third quarter of last year. Our gross mining margin, which is calculated as total revenues minus direct operating and maintenance costs and high performance computing service fees, decreased in absolute terms to $6.1 million or 21% in the most recent quarter compared to $11.3 million in the same quarter last year. One significant factor to consider and remember is the impact of the halving event that occurred in April of 2024. This event led to rewards earned by miners in the third quarter of this year being halved compared to the same period last year. The gross mining margin is influenced by several additional external factors. These include the high mining difficulty currently being experienced and the reduced amount of digital currency rewards received by miners. As I mentioned, which is now half of what it was a year ago and the market price of the digital currencies at the time of mining, which is how our revenue is recorded, which has been higher compared to the previous quarter. Taking a look at basic income or loss per share in the most recently completed quarter, we are reporting a net profit of $0.01 per share compared to a net loss of $0.08 per share reported for the quarter ending December 31, 2023. And looking at the nine month period, year-to-date we are reporting a net loss of $0.03 per share compared to a net loss of $0.55 per share in the nine months ended December 31, 2023. The net loss reported by HIVE is in accordance with the regulatory requirements of IFRS, as we are Canadian listed entity rather than following US GAAP. However, we are going through the process to get a transition to US GAAP. One of the things that will do is allow our investors and our listeners of this session to have greater comparability of ourselves to our peers. Onto the next slide and looking at our year-over-year revenue, we generated total revenue in the third quarter of fiscal 2025 of $29.2 million versus $31.3 million in the previous year's quarter. The steady revenues compared to the same quarter in fiscal 2024 can primarily be attributed to the higher average bitcoin price, which is more than double what it was last year. However, this increase is offset by a rise in Bitcoin difficulty hashrates over the past year, as well as the impact of the halving event on the current period results. It's a huge badge of honor for our operations team and the company as a whole to be able to maintain these high revenues even with receiving half of the rewards that we were receiving a year ago as an effect of the halving event. As previously mentioned, our gross mining margin, which equates to our revenues, miners, direct operating and maintenance costs and HPC service fees decreased in absolute dollars to $6.1 million or 21% in the most recent quarter compared to $11.3 million or 36% in the prior year. Moving on to the next slide, comparing our current fiscal Q3 quarter to the previous Q2 quarter, we generated revenue in this third quarter of fiscal 2025 of $29.2 million versus $22.6 million in the previous quarter. This increase in revenues versus the prior quarter was impacted by an increase in the price of Bitcoin resulting in higher revenue from digital currency mining. We also saw a 35% higher HPC revenues quarter-over-quarter. Our gross operating margin, also in absolute dollars, decreased to $6.1 million or 21% in the most recent quarter compared to $1.2 million or 5%. That increase is great on a quarter-over-quarter basis and it was greatly due to the higher comparative bitcoin prices and resulting revenues. Looking at our adjusted EBITDA on the next slide. In this third quarter of fiscal 2025 was $17.3 million versus an adjusted EBITDA of $5.6 million in the prior quarter. I will highlight again, that adjusted EBITDA is a non IFRS figure. In the third quarter of fiscal 2025, we experienced a net profit of $1.3 million compared to a net loss of $7.7 million in the prior quarter. At this point, as I always like to do, I want to thank our loyal shareholders that have been with us over this period of time. It has been an incredible journey and it has been incredible what HIVE has been able to achieve and announce over the last three months. And at this time I'd like to pass it to Nathan who will be running our Q&A portion for our covering analysts. Nathan?
Q - Bill Papanastasiou: [Technical Difficulty] I'm not sure if I've been unmuted for the question, but it seems like I have been with respect to the Paraguay expansion strategy. Curious if you guys could share some details in terms of whether you see further opportunity expand in the region now that you've established a foothold in the market with the 300 megawatts expected to come online in roughly eight months. Thank you.
Frank Holmes: Sorry, Bill, I don't know if -- I can't hear anything on my end. Can you repeat the question? I apologize.
Bill Papanastasiou: Yes, no worries. Good morning, everyone, and thanks for having me here. So my first question was with respect to the Paraguay strategy. I'm just curious to hear the team's thoughts on further opportunity expand in the region, now that a 300 megawatt foothold will be established in roughly eight months. Just curious to hear on general thoughts on Paraguay. Thank you.
Darcy Daubaras: Yes. No, thanks for the question, Bill, and I apologize for the silence. I wasn't sure if it was just on my end. I think with the team that we've had gone down there, Frank has been down there, Aydin has been down there. Luke, our Chief Operating Officer. It's opening up some other opportunities. People are -- we're seeing more of the region. We're having conversations with existing -- the existing miners down there. So I think that there's a potentially a lot of opportunities in Latin America to do some additional bitcoin mining. But right now, because this is -- as everybody on the call knows, this is the biggest transformational announcement that HIVE has made since its inception back in 2017. We're laser focused to get these done. I don't think that we want to overburden ourselves with going after another 300 megawatts or whatever. As the conservative CFO, I think the team wants to make sure that we get this done, get it done properly, get it up, up, up and running. And with the Bitfarms one, because it was already -- once we close, be able to get this one up and running, the timeline is a lot tighter. We're going to learn a lot. It's like any country, you can have all of your plans, the operations team, finance team, everybody. But until you energize that, that's when the excitement really starts. So we are continuing to take a look. We are always, whether it's in Latin America or other places, taking incoming opportunity questions. So we're continuing to look and haven't closed our eyes to anything. And with the access to the green energy from these large dams that have stranded power, I think that there's going to continue to be opportunities, whether we take them or not, that will continuously be part of our corporate development strategy. Taking a look at it, seeing if it makes sense. But the big thing we're looking at through calendar 2025 is getting these operations up and running so that we can put bitcoin on our balance sheet.
Bill Papanastasiou: Awesome. Thank you for the color there. And then if I may ask a second one, how should we think about the ramp in SG&A expense going forward and the impact of operating leverages as the business scales here?
Darcy Daubaras: Yes, I think the SG&A is going to continue to be very lean. It's not going to be linear from a standpoint of us having 6 exahash now and then getting a 4 times to 25 exahash that our SG&A is going to increase by 4 times. There's going to be economies of scale. And the great thing that I've in my head, Bill, it's not the operations side, but I would much rather have one 200 megawatt facility like we're looking at in Paraguay with the LOI with Bitfarms, then have 10 20 megawatt ones. You can keep your overhead a lot lower. You can get a lot more economies of scale. As we've talked about before, we are going to be adding some people on the strategy side for the accounting and auditing and we'll obviously have to add some people down in Paraguay to run the operations. But it's not going to be a four times. We're going to continue to keep it lean. And this is where -- you can maintain a very low SG&A while your revenues go four times.
Bill Papanastasiou: Really appreciate the color. Congrats again on the quarter.
Darcy Daubaras: Great, thanks Bill. I appreciate you calling in.
Nathan Fast: Bill, thank you for the question. For our next question, we'll go to the line of Darren from ROTH. Please unmute.
Darren Aftahi: Hey guys, can you hear me?
Aydin Killick: Yes, Darren.
Darren Aftahi: Great, good morning. Thanks for my questions. Congrats on the progress. So I guess my first question, appreciating all this stuff sort of occurs linearly. Can you just walk through what logistically needs to occur in order to: one, close the Paraguay site from Bitfarms. And then two, With respect to the aggregate 300 megawatt project kind of where of the biggest obstacles between once you close the Bitfarms transaction and getting up to 35 exahash by the third quarter target?
Frank Holmes: I think the target is 25, but I don't know where the extra 25 will get to 35. I think it's well on its way. We're having numerous calls with Bitfarms every week. We've got a very good relationship, a very good open communication with them because, both ourselves and Bitfarms want to make this transaction successful to be able to close on time. So they've been incredibly accommodating, sharing information with us on what's happened. We are working with people that have already built and are continuing to build down there. So the synergies that we've been able to have been very beneficial. I don't see any big rocks or stumbling blocks that we need to get over. It's just continuing that communication with Bitfarms to be able to get to the energization. We already had a good relationship with the energy provider and they down there when we hooked up our and had the relationship for the 100 megawatts. So it's more just working with the existing team that's there, continuing to check things off the box from both a due diligence point of view and making sure that we've got operational people that are ready to run the facility. From what I understand, our imports that we have to come in for the remaining equipment to get that facility up and running is all working well. We are looking at the purchases of ASIC equipment that we already made for our existing facility and taking a look at both our 200 megawatts with Bitfarms and our 100 megawatt that we had announced for our own, what's the most strategic and best utilization of that equipment to get energization as quickly as possible across the two facilities in Paraguay.
Darren Aftahi: Great. Appreciate that detailed response. If I could sneak one more in, just maybe for Aydin. On the AI cloud business, since the DeepSeek stuff kind of came out, I mean, have you seen any changes in the demand environment, good, bad, and different? Just kind of curious on your thoughts there. Thanks.
Frank Holmes: I think Aydin might be having some audio problems, unless he's talking and I can't hear him.
Nathan Fast: All right, We'll go ahead to our next question. Apologies for the audio difficulties. Brett from Cantor. If you would please unmute yourself and proceed with your question. All right. We will move to Nick from B Riley. Nick, please unmute yourself and proceed with your question.
Nick Giles: Hey, Nathan, thanks a lot. My first question, guys, congrats on the progress so far, first of all, but Frank, you talked about the change in administration giving you the comfort to move the head office to San Antonio. Obviously, you have an impressive growth pathway in Paraguay, but has the change in administration impacted your desire to own operating assets in the US?
Darcy Daubaras: I don't think Frank was able to make it on the call this morning, but it definitely has changed HIVEs viewpoint on the United States prior to the current administration came in, as everyone is aware, it was challenging to not know what was around the corner with any regulation in the United States. You had [Gensler] (ph) going after everybody that either had blockchain, crypto, or anything in their name. They made it extremely difficult through choke point 2.0 to get anything done. Having the new administration have -- it's very clear that the new administration loves crypto. They're putting out their own -- trying to put out their own ETFs. They've brought in a SEC chair that's a lot more friendly to the blockchain and cryptocurrency environment. They actually have a crypto czar. So any kind of additional spotlight that can be put on the sector. A lot more adoption will be happening in the United States. And I think it becomes a lot more mainstream. So when you've got states taking a look at how they're going to handle crypto, having the national environment a little bit more friendly can only benefit what can be useful for Bitcoin miners. Over the last seven years that I've been with the company, HIVE has taken a look at different things in the United States. We've moved into -- we are the first ones to be dual listed. There was always an underlying, I'll say for myself, discomfort because you didn't know where the lines were drawn operating in the United States. I think over the next four years, there's a great opportunity for the United States to get regulation in, make it a lot more mainstream. So no matter who is in power four years from now, we'll have the guardrails to make this industry incredibly special and incredibly booming past Trump's presidency. And from a CFO point of view, I welcome regulation. Sometimes you don't like it, but at least you know where the guardrails are and where you can go and where you can't go. In prior administration, you didn't know where those guardrails were because they would just come in and make up the rules as they came along, whether they were lawful or not.
Nick Giles: Thanks for those comments. My second question, if I may, was, correct me if I'm wrong, but I think you alluded to the potential for some site conversion in the existing portfolio more geared towards the HPC side. So just was hoping to get any additional color on what kind of work has been done for potential co-location opportunities or have you come up with any capex per megawatt estimates, any additional color you might add? Thanks a lot.
Darcy Daubaras: Yes, on that Nick, in terms of the actual numbers, I'd have to defer to the operations team, but I know that we have been looking at our flagship facility up in Bowden, Sweden. There is a small, actually beside our flagship facility, we've been doing analysis. We brought in a consultant to take a look at what it would cost to repurpose that from basic mining, doing cryptocurrency to doing the HPC. And we've also taken a look at that in our New Brunswick facility to be able to look at the energy that is available to the company and make the best use of it. We could just say, you know, keep it completely separate and say, okay, we're only going to work with outside parties for our Tier 3. But using our existing facilities and saying what's the best purpose of that electricity that we have and is that better used to do high performance computing or for Bitcoin mining. The one thing that we need to take into account is, if we're doing HPC, it has to be up 100% of the time. So we have to -- in addition to the OpEx that would take to get it to a Tier 3 level, including the redundancy of power, redundancy of the fiber optics, all that. We've got to make sure that it's an environment where we can have useful, low-cost energy, but it's stable energy. We can't have it in a location where we're going to be curtailed because we just can't afford to have the power going down. You got to make sure that you've got it 99.97% or whatever the amount is to making it keep up there. But we have had engineers come in, do some analysis and provided us with some estimates in terms of what that would take. So we'd love to be able to do those in our own facilities and then you know outside of our own facilities we're continuing to look for sourcing locations to do our own HPC, owning the property, owning our own facility so that we don't have to rely on any landlords.
Nick Giles: Thanks again, Darcy, and keep up the good work.
Darcy Daubaras: Thanks, Nick.
Nathan Fast: Thank you for that question. In the interest of time, we will accept one more question from the line of Joe from Canaccord. Please go ahead and unmute yourself, Joe.
Unidentified Analyst: Hey, Darcy. And I'm not sure if Aydin and Frank are still on, but nice to see. Yes, nice to see you all.
Frank Holmes: I hear a technical question coming, so I'm glad Aydin is here.
Unidentified Analyst: I may not go into a technical question, but nice to see all the progress and the expected ramp here on exahash. Maybe I'll just throw one question in. As the business is about to get a lot larger and looks like it's going to be throwing off more profit. Just wondering how you consider maybe the use of debt moving forward as a funding mechanism to grow the business relative to, for example, using the ATM and more -- it's working, but if you were to employ some debt, maybe you could grow a little more accretively and with a bigger P&L, you'd be able to service some debt. So just wondering what the most updated thoughts are on using a little bit more of the cap structure of the balance sheet here. Thanks a lot.
Aydin Kilic: We saw a lot of convertible debt deals done in the last quarter of 2024. And we've spoken to different institutions on those lines. But what we noticed was a lot of those debt deals had use of proceeds that were diminished from the total amount borrowed. So for example, we see convert deals done for $500 million, $600 million, but cap calls and share buybacks were also included in that structure. And as you know, these are detailed and have these press releases. And so $600 million deal might only have $350 million to $400 million of proceeds to say buy Bitcoin if that's what the debt was for. And so down the road at the end of the term, you're still going to have to repay the $600 million. So it seemed to be trendy or popular because there was a lot of liquidity that was opening, like doing those securitized debt deals was opening up. But what if things don't pan out? Like a lot of these debt deals were done to buy Bitcoin. And so, what if that doesn't pan out perfectly? What if Bitcoin doesn't go to 200 grand? So right now, we've got a strong balance sheet and we've got, I think, little under $100 million left on the ATM, $100 million beyond that on the base shelf and as well, we've got roughly $250 million -- over $250 million Bitcoin on the balance sheet. We always look at the cheapest cost of capital and if there is a good debt deal, which by the way, in the HPC world, it is a different ecosystem. It's different than financing Bitcoin expansions or operations. So there are potential opportunities there. There are more conventional sort of debt financing options. But yes, we always look for the lowest cost of capital.
Unidentified Analyst: Great. Thanks very much, Aydin. Congrats on all the progress.
Nathan Fast: Thank you, Joe. Thank you to all of our analysts, all of our attendees. That concludes our Q&A session and our Q3, 2025 earnings call. Thank you very much for joining. We look forward to speaking to you again soon.